Conversation:
Operator: Welcome to the PowerCell Group Q4 2025 Report Presentation. [Operator Instructions] Now I will hand the conference over to the CEO, Richard Berkling; and CFO, Anders During. Please go ahead.
Richard Berkling: Good morning, and thank you for joining us. 2025 was an important year for PowerCell, not because everything moved fast, but because the right things moved forward. We operated in a market where interest in hydrogen and fuel cell clearly increased, but the investment decision remained cautious and uneven, which affected the market. With that combination, market conditions requires discipline more than optimism and execution more than ambition, and that is what we saw in 2025 and what we will present here in this quarter 4 presentation. So against that backdrop, parts have continued our shift from technology development to more industrial execution. We delivered a record year when it comes to several aspects. We had improved margins materially. We generated positive EBITDA for the first time for a full year, and we strengthened our cash position, all this while operating at a slightly lower top level than we initially anticipated. So this is not where we want to end up, but it's also a very clear confirmation that our fundamentals are strengthening. It shows that we, as a company, can execute, control costs and deliver industrial performance in a very demanding environment. So as we enter into 2026, we're not managing towards a single market forecast. We are deliberately building a structure that can protect earnings at a lower activity scenario while still remaining ready to scale when the opportunity materialize. Marine is remaining to be our execution backbone where we see the most growth and more stable income. But power generation is now emerging as a second pillar, designed for scalable growth with a limited cash capital exposure. So we said that 2025 was about execution over ambition. We said it was readiness over prediction and more from promise to performance. And that's really summarizing the year. We have executed on more or less all strategic ambitions, but we are also setting the bar higher for the future. So key takeaways on 2025 and quarter 4. Our Q4 and cumulative 2025 results demonstrate a very solid execution on strategic priorities. Most notable, start of production deliveries to marine on time to customers, the product launch of the power generation platform that gives us an additional pillar for future growth. The first industrial order on the methanol power plant, which was a significant milestone. And I really like the fact that when we do product introductions, we see immediate market traction, which gives us a confirmation that we have rather good precision in the efforts in product development, investment into new features and then also market positioning to a very demanding market. And also for a company like PowerCell to find the breakeven point and deliver on it is extremely important. So it is encouraging that we can deliver organic growth in a volatile or flattish market to some extent. If we look at growth year-over-year, we take out the FX effect, it's actually 24% organic growth, which is strong. Once again, not necessarily to the level that we have as an ambition, but on the market conditions we see, we're quite happy with the development. We also delivered a very strong product offering in Marine introduced in 2024, which now was materialized into 0 production and customer deliveries, which we are now in commissioning and start of deployment. 2025 was about testing and proving that PowerCell can execute, deliver and remain financially disciplined also when the market is uneven. And to that we stood the test. And going back to a year ago, when we started -- when we reported Q4 2024 and gave the introduction to '25, we said that 25 is a slightly different year because it's more even over the quarters. We don't have the hockey stick revenue, which is then why we see that the quarter 4, compared to quarter 4 last year is a lower top line, but the full year is according to our expectation, and we're happy to see the progress. With that, I will hand over to Anders and a more detailed presentation on numbers.
Anders During: I will not skip so many slides at once. I will start here with the fourth quarter and the numbers. Now Richard has been through basically the numbers and everything that's in essence. I'd just like to highlight 2 things, I think that's still important. When you see the numbers for last year, SEK 144 million, the majority of that number is from one order that we had in -- very late in the year. So as in this year, we have had several orders rather in the fourth quarter, building up the SEK 95 million. And then I think what we did after Q3 or when we presented Q3, we felt urge to give some guidance on the cash situation and the cash flow situation because we all realized that we have seen 3 quarters in a row where the path had been quite downward. And we wanted to make sure that you, the market and everyone around us understood that, yes, without living or giving forecasts, we would like to say that we are hopeful for the last quarter when it comes to cash flow. And now as you can see, the last quarter came in approximately -- which I say here, in line with expectations and then everyone would ask what were your expectations? Well, now you know this was what our expectations were, and we did our best to guide you without leaving a forecast. And that felt very pleasant to have that feeling for the company that one can say things and you see that, that's delivered. Moving on to the full year. Like Richard said, looking at the numbers straightforward, I mean, the growth is 15%. If you reduce that for FX effects in '24, which were positive and FX effects in '25 that were negative, you end up with 25% or 24% rather. The EBITDA level, I will get back to that on the next page. But just running through the numbers here, you see that we are basically doing better on all levels, and that includes the operating cash flow, of course, that ended up only minus SEK 10 million. And I think every one of you that listening to us and read our report after Q1, Q2 and Q3, we're a bit nervous about this, but we are happy to be where we are. And as you also noticed, we have added liquidity through this new credit facility on customer projects to our, let's say, asset bank when it comes to liquidity. So that feels good. Then just for the comparison because Richard said in his introduction that the underlying business is growing. And I think the stress when the underlying business is growing, that important to recognize how -- what the differences really are. If we eliminate the FX and the extraordinary items, and I think when it comes to extraordinary items, you that have followed us recognize that last -- in '24, in Q2, there was a huge ticket on SEK 30 million plus to the profit. And in this year, in Q3, we had a negative similar thing basically related to reorganizations. If you eliminate all those and the FX effect for the 2 years, the underlying growth, 24%, like Richard said, but it's important also to recognize that EBITDA change 24 to 25 on that same account is 79 million. And that is an effort that I think should be recognized. With that, Richard, I'll leave it back to you.
Richard Berkling: Perfect. Thank you. So then we can also promote upcoming events, interim report quarter 1, which will be on April 23, and then the AGM here in Gothenburg on May 11, which we obviously want to invite as many people as possible. So if we then look at what we see over the year and what 2025 gave us, we see that we have proven resilience. Once again, EBITDA on the full year, the lower top level absorbed and we managed some headwinds. We are happy with the outcome. We are pleased to see that we have a resilient organization and a rather strong business model. But we're not yet at the ambition level that we want to be. And this is something that we're working quite hard on. And 2026 will be more of a normal year in PowerCell context where we most likely will have more of a hockey stick because you don't have the same even distribution over the quarters. This is also how it is to run a business in a technology shift. And reflecting a bit on this one, if you look at the market context, we try and visualize this with the navigation of a sailing yacht where you -- sometimes you have the headwind, you could have the tailwind, you have the current running with you. As we said, we are not operating in a one market scenario. We are really working hard to optimize what we have to work with. So what we see right now is supporting us is the awareness. We see regulation supporting the transition, especially in marine. And we also have a number of proof points from the use cases where we now have a rather strong deployed product portfolio, which are out in operation, giving us really, really solid proof points to more demanding customers. What is a headwind or ahead current is that we see a lot of capital discipline. We see risk averse money on the sideline. Also, of course, the macroeconomics and geopolitical landscape is not supporting areas where you are investing into new technology. But at the same time, we also see the cost and the drivers for especially marine, and this is something that we have been a bit surprised on the strength of this. Regardless of IMO postponing a decision 1 year to impose new emission regulation, EU has already moved ahead and EU have stricter policies than what the IMO proposed. So if you break this down, cost for fossil fuels for the marine industry will double between the year 2024 and 2030. And then it will be equally amount until 2035. So you have an exponential cost development. This is driving a change of behavior. This is driving transition. So when we signed the order with GAMMA [indiscernible] in quarter 3 or quarter 4, just in the break there for the bulk carrier, that was a breakthrough order because we see that they can deliver breakeven on the new technology rather early. So their ROI is well on this side of 2030. We see more of that going forward. So we have a strong support from regulation and also the early movers proving that this is really, really working. We also see the particle emissions is a growth driver because of the health effects, especially related to port and harbors and urban dense areas, where respiratory illnesses is causing massive cost to society. That is now the #1 driver compared to C2 that was the driver up until 2022 and 2023, in combination, of course, with energy resilience in society. So looking at the market going forward and what is resisting us is, of course, the risk-averse capital market. But what we have seen from 2021 until now is the -- what we call a market normalization phase. We have now seen a washout event where the more sustainable business solutions and business setups and strategic positions will survive. And we feel that we're quite well positioned in this market going forward. If we look at quarter 4 segment and what was in focus there, we can now see that the MS225, the marine systems are delivered completely to the customer and now are progressed into commissioning and deployment, which is quite encouraging. We also reported a SEK 43 million methanol-to-power order secured with a European shipyard, which is confirming the commercial traction beyond just pure hydrogen, which is important to us because that is doubling the availability of fuel, which is important to be able to scale up the new technology. In power generation, the PS190 and the portfolio for power generation gained traction following the market launch, which was quite encouraging. We have field validation agreement with the U.S.-based data center, which is, of course, really interesting to us because the data center industry is growing. It's a very demanding application. I will not stand here and say that our fuel cells and the #1 driver for energy for data centers, but we are in the energy mix, especially when it comes to clean power for backup power and peak shaving. So we look forward to experiencing this first installation and then come back and report on the progress. In aviation, we had a SEK 12 million follow-on order from a European Aerospace Research Institute on products and then an additional SEK 5 million on engineering services, which was encouraging. So if we then look at power generation and why we are so happy to be able to introduce this and why it's so important to us, it is that power generation is something that is creating a second pillar to us. It's the same core technology as we use in marine. We have a lot of synergies between ourselves and Bosch, both when it comes to core technology and volume. It is a highly competitive product portfolio. It is optimized in its performance and price for power generation, and it has a very interesting package when it comes to size, performance and functionality, especially in combination with the software platform, which is the integration platform that is really, really important in order to optimize the asset of a fuel cell. So with that core component and the software platform that we are promoting to the market, we give a package that is easier to install and you can better optimize over the life cycle, extending durability, extending lifetime and also optimizing our fuel efficiency. So we have a very, very strong product package to the power generation market. And the contribution to PowerCell is, of course, that it gives us another growth potential. It is an extension of our core business without the capital spend of start of production and market introduction when it comes to the industrialization phase. So really important proof point of our asset-light business model. Marine and Power Generation, it doubles the growth potential for us. And it's really, really valuable for us to be able to protect our EBITDA and protect the bottom line if the market is sideways or slow, but it gives us a really strong opportunity to capture growth when and if it happens. It also gives us an opportunity to continue to protect the breakeven margin on around SEK 400 million that we have proven this year. So expanding without adding too much of additional cost or fixed cost is, of course, important in the market conditions that we are operating in. Briefly touching on the underlying market and what we see in different segments. Marine is continuing to be the strongest segment for us. We have the most clear business cases. We have the first customers that can clearly define their breakeven point. And we also see now an infrastructure that is supporting more growth with availability of hydrogen in port and harbors. 2025 was actually a year where you saw more final investment decisions regarding hydrogen production than we've ever seen before. So marine is continuing to be the backbone of PowerCell short term. Power generation, the addition of the product portfolio that we launched is really important. And hopefully, we can have the same development and traction as we did when we introduced the marine portfolio, and that is a focus area for 2026. Off-road is continuing to be a segment that we're following and not necessarily actively developing. A bit slow. You see some traction in rail and locomotive, but other areas, we have customers operating with our products, but we don't really see the traction that we do in marine and power generation. Aviation is a segment that is, as we have said before, it's not our volume segment, but it is the segment that is qualifying new technology and pushing the boundaries on safety, robustness and quality. We have seen ZeroAvia communicating that they are scaling down some of their cost portfolio. What they have protected is the development and certification of the fuel cell driveline, which is, of course, where we are operating. We are continuing to supporting them, and we are looking forward to completing the certification. But it is sometimes difficult for heavy capitalized companies in that energy transition to continue full speed ahead. So seeing them completing a new funding round was good. It was fortunate that they have decided to protect the part of the business that is focused on what PowerCell is doing. So if we look at 2026 and how we continue to build the company, we have a very clear strategic focus. We need to continue to leverage the platform, the systems and the product that we have in production today. We need to continue to focus on growing. We need to grow the top line. Right now, we are at a position where we have a really strong leverage on growth, being able to protect breakeven at a low level, also means that when you see a strong growth going forward, the leverage is going to be quite interesting for us. The industrial partnerships are important to us. We need to continue to build business and market and volume through the larger OEMs that we're operating with. And then fiscal discipline is going to be in focus also for 2026. It's going to continue for PowerCell. And I'm happy to say that we have proven that resilience in 2025. So 2026, we are focusing on staying the course. It's going to focus on real demand and the practical applications. We are going to continue with the step-by-step progress. Positive EBITDA is something that we're going to focus on and trying to protect really, really hard for 2026. We are proud to say that we have an operational model that is remaining lean and cost discipline. You need to bear in mind that starting production as we did in 2025 comes at the cost, not necessarily always a financial cost, but there's also a cost and challenge to the organization. And to see that we managed to start production, deliver on time to customer and come out protecting the bottom line is something that I'm extremely proud of, and that is a new phase for PowerCell. So I'm really happy to see that we are progressing. The focus for 2026 is, of course, that we need to be very strong industrially. We need to have credibility as we are moving to customers that are really demanding. We need to broaden our commercial footprint. Power generation is one aspect of that. And then, of course, a focused sales effort into areas where you see traction, India, Middle East and Europe, of course. Summarizing PowerCell, we are built for volatility, but we're also built to capture the opportunity that we see there. And if I'm reflecting on the Q4 2025 compared to the Q4 that was my first report 5 years ago. So this is actually the 20th report that I'm doing. What we can see is that the value creation, and this is where running a company and reporting numbers, numbers tells a story. Numbers can also share the history and the progress of the company. In 5 years, the Q4 report in 2020, which was summarized in the full year, the development from that point until now is a completely different company, progressing product portfolios that are optimized and industrialized for specific segments, building a completely new company where you have industrialized processes, you have output of demanding industrial components that are put into operation in OEM applications. But more importantly, is the internal value creation because the revenue in 2020 consisted of some throughput revenues that was really not value creating in PowerCell. So growth is from that point until now, 720% when it comes to the value-generating abilities of PowerCell, where we go out and sell something, where we have designed something, where we are producing and delivering something. And those 720% really tells a story. And to be able to do that and leverage growth and deliver a positive EBITDA for full year, it is, of course, something that we're quite happy with. And then we say that we have not reached our full potential. We have more ambitions going forward. But if that ambition is completely fulfilled in '26 or '27, that is also up to the market conditions to decide. And this is why we build a company that is able to protect bottom line if the market is soft, but also to act on the opportunity going forward. So with that, we open up for questions on 2025 and Q4 report.
Operator: [Operator Instructions]
Richard Berkling: So one question that is coming in is why haven't we uncovered the full power generation lineup? Will HTS be part of that lineup? So good question. The market introduction we did with power generation indicated 2 products that are available immediately or 2 system products and then 1 complete delivery. We have a road map to introduce more solutions, most likely with the higher power rating and also with some new functionality. So continuing to build that portfolio and expanding to be able to provide value to more customers is also part of the market introduction. We also want to see where we get traction. So we are not overinvesting too soon. So we are going to continue to build more products and more offerings into the product portfolio to be able to continue to see where we see traction and where we see real customer value. HTS will most likely be part of the lineup going forward. But as we have indicated, the development cycle is that the HTS will be commercialized and industrialized sometime around 2028. So it will be part of the lineup, but not in the short term. So one question from Stefan is he missed the reason for decrease of sales in the last quarter. How are we going to strengthen the sales channel? And he's also asking and commenting that he's not seen and heard a commission situation. A good question. As we said, 2025 was a different year compared to what is a normal year for PowerCell. And I would say for the whole industry when you're working in the energy transition. Quite often, you have a hockey stick development over those years because they are quite often budget driven, quite notably in China, where you saw a very low activity in the second half of 2025 because that was at the end of their 5-year plan. In October, they communicated that hydrogen and fuel cells will be a very important part of the new 5-year plan, which is now then in place and is going to accelerate sales and volume in China. So it is the nature and the conditions of the sales distribution. So in 2025, we had more of the large orders, as Anders commented, we had 2 really big orders that were evenly spread throughout the quarters. This year, we still have medium-term and large orders, but they are more centralized throughout the segment. So volatility will continue to be part of the segments. And in quarter 4 this year, the volume was lower than quarter 4 last year. But for the full year, it was a rather solid growth. So it is about the distribution between quarters. And this is also one reason why we're not making forecast because it is difficult to predict exactly how the distribution will be throughout the different quarters, especially when you're still a very small growing company. That means that specific orders can have a big impact, whether or not they are fulfilled and delivered before a quarter or after a quarter. So we're continuing to see volatility, but we feel very solid in the performance and that we have a good growth strategy. And then the sales, we have an extremely strong product offering. In Marine, after the introduction of the Marine System platform, we have an estimated 80% to 85% market share. After introducing the power generation lineup, we immediately signed a number of orders. No big volume orders yet, but we are hoping to have the same precision in that introduction. And that is because we are we are quite determined and focused on making sure that we capture end user value and not just selling products. But still, the proof is in what we deliver going forward, but it's a really good question. So one question from Carnegie. Given the current uncertainty around customer investment timing, the marine project execution and the ramp-up of power generation with Bosch, what are the key factors that would determine whether or not 2026 lands on the high versus the low end of the outcome range? A very good question. A number of aspects to answer that question. And the question was well articulated because Marine segment is quite often projects with a longer cycle. When we deliver something, it goes into a vessel that is being built and the build period is between 2 and 3 years. Quite often, we deliver our hardware much earlier than the final commissioning. So we have a shorter time to market than the actual vessel built, but it is a slower process. What we saw in 2024 and what we continue to see is that we have a rather short time between order and delivery also in Marine, much shorter than in the past. We also now see with the new emission trading into effect in Europe, we also see a market opening up for retrofit, which could accelerate the order to delivery in Marine. But that is also why power generation is complementing our portfolio in a nice way because power generation has a much shorter order to delivery cycle. Quite often, we can deliver something and it can be up and running within 2, 3 months. You don't need to wait for a vessel to be built, commissioned and put into operation. So that is complementing it. So I would say that what would determine whether or not 2026 lands on the high versus the lower end of the outcome range is the distribution between marine projects, marine orders, power generation and, of course, IP, royalty and engineering services because all of those are also very short turnover business. So product mix is going to determine the outcome. We are quite confident in the long-term development and the long-term ramp-up, but the short term is definitely decided by the product mix. And this is where we are going to be clear when we get the orders on when the revenue is occurring and how it's distributed. But a very good question from Carnegie. From Ari, we have an update related to Bosch and opportunities and threats. I would say that our collaboration with Bosch is a very solid foundation for PowerCell. The fact that we have a collaboration with one of the really strong industrial partners in any industry is something that gives a solid backbone to PowerCell. I have been in industries like this for 25 years. I can honestly say that without PowerCell, without Bosch, PowerCell would not be in the situation we are right now. They have matured our offering with at least one industrial cycle. So that is really, really valuable. And then the opportunity, China is going to be an important market for hydrogen and fuel cells. China is the #1 market when it comes to investment into infrastructure into investment and availability of hydrogen, and they have a clear strategy on how hydrogen is going to be part of the energy mix in society. Having Bosch as our sales channel in China is valuable. So working with them and supporting them in leveraging that opportunity is going to be really, really important. Threats, I don't see any immediate threat. I view Bosch as a very strong owner and industrial partner. So one question from [indiscernible] is, are the Norwegians very fully invoiced and paid now? I would say no to that. And we have some deliveries and commissioning left to do. And in that, we also have payment milestones. So revenues and liquidity is going to also affect 2026 in a positive way. What would you say that this year is overall better in general compared to last year? Question from Fredrik. A good question. I would say that the fact that we managed to achieve what we did in all aspects of running a company is what is overall better. I mean, first, the underlying growth. Adjusted for FX, 24% with the FX fully affecting us plus 15%. It is a growth year, not on the levels that I want to be because I want to grow faster. But at the same time, doing that organically on a slower market, it is still a good year. But doing that, delivering positive EBITDA for the full year and also doing a full industrialization and start of production is a complexity that is not easy. It's been a tough year here at Ruskvadersgatan. The employees have really, really pulled through. Some areas of the company or the company as a whole has sometimes done more than you can ask for because it takes a lot of commitment to be able to start production. And anyone who's been in an industrial company knows the pain of labor to do that. So being able to pull through and still protect EBITDA, have a strong operational cash flow in the end of the year, delivering on what we said, I think, is what makes this year overall better. But we always want to do more. So hopefully, we can come back and show even more progress. But it's been a year where we've proven organizational and commercial resilience. And that is something I am quite happy with, and that gives me comfort going forward because it's continuing to be a difficult market out there. Hopefully, we can see some progress in the macro effects. But unfortunately, that is not under my responsibility. Anders, do you see any questions that you want to know?
Anders During: Well, I think there are some items that I've seen some questions popping up around. That is changing in assets in the cash flow analysis that is predominantly related to the payers of the license fee from Bosch that turns into long-term assets. And I also noticed that some of you have comment on the fact that in our notes where we do the segmentation reporting, royalties and IP gets a bit confused. In Q4, we had a classification of the royalties/IP revenues going into the service line because in the agreement with Bosch, we changed -- which slightly changed the terms and condition on that arrangement, which made it classified as IP for the most in Q4 rather than royalties. And that is the confusion. Otherwise, to clarify it, the amount of money that we received on IP and royalties in Q4 is approximately equal to what we received last year in '24 for that same items. But we will make sure to take this confusion on our segmentation reporting away that will change that going forward. So that's more clear directly.
Richard Berkling: So let me see if we have any more questions. I think we have covered them all. So if we then close -- here we had one -- let's see if we have one more. So from Carnegie, if market development remains slow, what cost or prioritization levers can you pull to continue being EBITDA positive without compromising long-term competitiveness? This is a very good question. I should probably have noted that one, but in the positive sense, there is one thing I'm really proud of and also grateful for the support that we had from the Board. It is a balance point of not reaching EBITDA positive by being anorectic by really scaling down. The fact that we have continued to invest in new products that we're introducing to the market as well as core technologies that will be the revenue engine from 2030 and onwards, I would say that balance point is really, really important. With that said, I was commenting going back to 2020 and reporting on my quarter 4 2020, which was my first report from the previous year when I was not here. We have more or less the same cost structure as we did then. But now we are producing industrial components. So we have made a rather interesting transition in the company. We have more levers to pull. We made a restructuring of the management team last year, which is going to have a positive effect on 2026 when it comes to cost structure. We have cost levers to pull. Now with production, if we see a slower development, we can ramp down the shifts that we have in production. We are going to protect sales and business development because that is what is really the important thing right now. We have levers to pull also when it comes to investment, which we can push or postpone. So we have a number of levers to pull. But the balance point, so the question is really well articulated. This is the #1, I think, obligation I have is to protect PowerCell and balancing between the short-term performance and protecting EBITDA, still being able to catch the potential growth that is out there, depending on how it materializes between product mixes. And continuing to have strong competitiveness going forward because the energy transition and any technology shift, it is a marathon. We are now starting to see some tailwind when it comes to awareness, regulatory support and also infrastructure and availability of critical components like the hydrogen. But it is a marathon. So thank you for asking that question. And I should probably have mentioned the balance point and how I am happy with the support we get from the Board in doing this. But this is something we need to come back to going forward over the year because defending this balance point is what we do in the management team. So with that, we have a company now that is built to endure, adapt and win as this transition unfolds. What we do is not easy. Business development in technology requires a pioneering mindset, but also clarity to see things for what it is in the short term. We see a rather clear path going forward. And the simple golden rule for us as a growth strategy is to grow number of installations in the market as well as grow the value creation per installation. When we do that, we capture the volume that is out there, we drive more penetration in the market, and we will also see growth that is sustainable and that we can leverage. So we are looking forward to 2026 that is going to be important to us, where we hope to prove our competitiveness as an industrial partner to our customers and also to continue to deliver growth that we can leverage and protect both bottom line while still being able to capture the potential that is out there. So thank you very much. Thank you for joining us. And as always, you are more than welcome to visit us in Gothenburg.